Operator: Good morning and welcome to the MGP Ingredients Second Quarter 2021 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mike Houston. Please go ahead.
Mike Houston: Thank you. I'm Mike Houston, with Lambert & Co., MGP's Investor Relations firm. And joining me today are members of their management team, including Dave Colo, President and Chief Executive Officer; and Brandon Gall, Vice President of Finance and Chief Financial Officer. We will begin the call with management's prepared remarks and then open the call up to questions. However, before we begin today's call, it is my responsibility to inform you that this call may involve certain forward-looking statements such as projections of sales, operating income, gross margin and effective tax rate, as well as statements on the plans and objectives of the company's business. The company's actual results could differ materially from any forward-looking statements made today due to a number of factors, including the risk factors described in the company's most recent annual and quarterly reports filed with the Securities and Exchange Commission. The company assumes no obligation to update any forward-looking statements made during the call. If anyone does not already have a copy of the press release issued by MGP today, you can access it at the company's website, www.mgpingredients.com. At this time, I would like to turn the call over to MGP's President and Chief Executive Officer, Dave Colo. Dave?
Dave Colo: Thank you, Mike, and thank you all for joining us. On this call, we will provide an overview of our results for the quarter, updates on key financial performance metrics and a discussion of progress against our strategy. Then we will take your questions. Turning to the results for the second quarter, the record consolidated quarterly results reflect the progress our team has made toward executing our long-term strategic plan. Sales of premium beverage alcohol increased 54.2%, primarily driven by brown goods sales growth of 72.8% from last year, which was due to both higher aged whiskey and new distillate sales. The American Whiskey category remains robust, and we continue to optimize our significant share and scale advantage to grow the business. Integration of our recently completed Luxco acquisition remains on track, including achievement of the synergy expectations we shared earlier in the year. This additional platform is already improving our gross profit and cash flow generation profile and provides long-term growth opportunities for the company. We also recently announced three key leadership changes: David Bratcher was elevated to Chief Operating Officer; Amel Pasagic was appointed Chief Information Officer; and Erika Lapish joined as Vice President, Human Resources. David, Amel, and Erika are proven leaders and further strengthen our capability of executing our long-term strategies. We experienced record results across each of our business segments this quarter, including the solid sales growth of aged whiskey, better-than-anticipated growth for our branded spirits segment, strong sales for our white beverage products, as well as record results in both revenue and gross profit for our Ingredient Solutions segment. Each of our business segments showed top line growth over the prior year. And as a result, our consolidated sales and profitability for the quarter achieved record levels. Looking at each segment individually, we posted another record quarter in our Distillery Products segment, with sales finishing the quarter up 20.8% to $90.3 million, while gross profit improved to $32 million or 35.4% of segment sales. We are very pleased with the record performance of our aged whiskey sales this quarter, representing solid revenue growth as compared to the prior year period from a diverse group of customers. This growth in aged whiskey reflects strong pricing, margins and demand as the macro consumer trend supporting the ongoing growth of the American Whiskey category remains solid. While we are very pleased with the unprecedented aged whiskey sales year-to-date, our full year guidance reflects aged whiskey demand to moderate in the back half of the year, and over the long-term, to grow in line with the overall American Whiskey category. Our diverse aging whiskey library, along with a solid sales team and our ability to support a brand's growth regardless of its size, offers a sustained position of strength over time. White goods also posted solid growth of 22.4% from the prior year period, primarily due to improved prices. As for industrial alcohol products this quarter, sales decreased 35.7% despite improved pricing and margins. As mentioned in our last call, the decline in industrial alcohol sales was primarily attributed to reduced third-party sales of industrial alcohol produced by ICP, our former joint venture partner. We have seen additional supply enter the market during the year, and we anticipate spot market margins will return to historical levels as demand also moderates over the next several quarters. Also of note, sales of dried distillers grains, or DDG, decreased 31.1%, primarily due to the need to convert from selling dried distillers grains byproducts to wet distillers grains byproducts, due to the dryer incident in Q4 of last year. We expect continued comparative declines in revenue for our distillers grains this year until the dryer system installation is complete, which we anticipate occurring in the fourth quarter of this year. Revenue from warehouse services increased 13.1%, reflecting, in part, growth in the number of customer barrels aging in our whiskey warehouses and other services we provide. Turning to Branded Spirits, the results for this newly created segment exceeded our expectations this quarter. Sales totaled $60.4 million, primarily due to the Luxco acquisition. Gross profit increased to $18.4 million or 30.5% of segment sales, compared to $0.1 million, or 38.5% of segment sales, in the second quarter of 2020.  Excluding the effects of purchase accounting related to the Luxco acquisition, gross profit increased to $21.6 million and gross margin totaled 35.7% for the quarter. Of the $3.1 million impact to gross profit this quarter, as outlined in the purchase accounting table in our press release, $2.5 million is not expected to recur in future periods. We are very pleased with the ongoing consumer demand for our brands as we continue to focus on improving our portfolio profitability by optimizing gross profits and margins as well as implementing the most effective marketing mix across all of our brands. Turning to Ingredient Solutions, sales grew 39.1% to a record $24.2 million, while gross profit increased to $6.4 million, also a record, representing 26.5% of segment sales. This reflects a significant increase in gross profit as compared to the prior year period. Specialty wheat starch sales grew 38.1% this quarter, while our specialty wheat protein sales grew 38.9%, both primarily driven by increased volume. We feel very good about the robust private pipeline for these products, as well as our recently rebranded ProTerra line of textured proteins and remain confident that they will drive long-term growth for this segment. We believe our diverse customer base and product offering continue to be aligned with strong consumer trends and remain encouraged by the robust gross margins as a result of our strategy to focus production and sales mix on our highest margin products. Overall, each of our business segments continue to benefit from favorable consumer trends, providing additional confidence in our long-term strategy. This concludes my initial remarks. Let me now turn things over to Brandon Gall for a review of the key metrics and numbers. Brandon?
Brandon Gall: Thanks, Dave. For the quarter, consolidated sales increased 89% to $174.9 million as a result of strong growth in each of the business segments. Consolidated gross profit increased 175% to $56.8 million, representing 32.5% of consolidated sales, due to record gross profit in each of the reporting segments. Non-GAAP gross profit increased 187% to $59.4 million, representing 33.9% of consolidated sales. As noted in our last earnings call, we experienced a fire at the Atchison facility during the fourth quarter of last year, which damaged feed drying equipment and caused a temporary loss of production time. During the second quarter, we recorded a $6.2 million partial settlement from our insurance carrier. We are working to construct a replacement drying system that is anticipated to be operational in the fourth quarter of this year. Until the replacement system is operational, however, we anticipate this will continue to affect gross profit results. We expect a portion, if not all, of these losses will be offset by our business interruption insurance coverage, similar to the past three quarters. The timing of any insurance recovery, despite best efforts, is outside of our control and may not occur in the same period as the recognized loss. Corporate selling, general, and administrative expenses for the quarter were $29.2 million, as compared to $9.4 million in the second quarter of 2020, primarily driven by the assumption of Luxco SG&A expenses, as well as one-time acquisition-related costs. Consolidated operating income increased 144% to $27.7 million, compared to $11.3 million during the prior year quarter. Non-GAAP operating income increased 205% to $36.9 million. Our corporate effective tax rate was 24.2% in the current quarter, compared to an effective tax rate of 23.1% in the prior year quarter, due to higher pre-tax income, which lessened the proportionate effects of tax credits received. Net income for the second quarter increased 136% to $20.1 million, and earnings per share increased to $0.91, as compared to $0.50 per share in the prior year period. Non-GAAP EPS increased to $1.27 per share, from $0.54 per share in the second quarter of 2020. These increases from prior year were primarily due to improved results in all three reporting segments. Adjusted EBITDA increased to $42.3 million, from $15.7 million, representing a 170% increase from the prior year period. Before I move on to providing updates on our strong cash position and balance sheet, I wanted to share an update on the financials related to the Luxco acquisition. As Dave mentioned, the Branded Spirits segment results exceeded our expectations, with strong top line growth, especially within the on-premise channel, which does not have as robust of a gross margin profile as compared to the off-premise channel. As more on-premise establishments fully open and reload their inventory, we expect that to slightly impact the business segment gross margins throughout the year. Additionally, we remain on track to achieve the previously mentioned cost and revenue synergies of $6.4 million by the third fiscal year, as well as a leverage ratio of approximately 2.5 times adjusted EBITDA by the second quarter of next year due to the strong free cash flow generation capabilities of the business. This strong fundamental cash generating capability allows us to provide positive operating cash flows even as we invest in other parts of the business. Cash flow from operations totaled $30.5 million in the second quarter, which was up from $5.4 million last year. During the second quarter, we also amended our existing credit facility agreement, which increased the maximum principal amount available by $100 million. This amendment to the credit facility brings the total principal amount to $400 million, plus an accordion feature of up to an additional $100 million.  We've also increased the shelf on our private placement facility with Prudential Global Investment Management, which now totals $120 million in unused capacity. Our anticipated capital expenditures for the year have increased from $43.3 million to $51.5 million, primarily due to CapEx related to Luxco. As a reminder, of the approximately $31 million in total costs related to the dryer replacement, we anticipate between $15 million and $20 million of that total will be funded through insurance proceeds. Our balance sheet and access to capital continues to be strong, allowing us to continue to invest to grow and drive long-term shareholder value as we integrate the Luxco transaction. As such, we ended the quarter with a debt balance of $278.4 million and a cash balance of $37.2 million.  We are offering the following consolidated guidance for fiscal 2021, including Luxco's financial results. Sales are projected to be in the range of $570 million to $580 million. Adjusted EBITDA is expected to be in the range of $105 million to $110 million. Adjusted earnings per share are forecasted to be in the $2.90 to $3 range, with weighted-average shares outstanding expected to be approximately 20.7 million at year-end. Last year, we shared some adjustments in our go-to-market approach in an effort to maximize profit on our brown goods sales. In the time since, we've sold record volumes of aged brown goods, which has in turn, helped drive record profitability for the company. While we continue to have sufficient aged inventory to service our customers, our ability to transact large volume sales of some older vintages is reduced, as we have sold through many of those older barrels. This, in addition to the headwinds Dave will share with you in a moment, is contemplated in our consolidated guidance. Recently, the Board authorized a second quarter dividend in the amount of $0.12 per share, which is payable on September 3 to stockholders of record as of August 20. This marks the 11th consecutive year that MGP has paid a dividend. The Board continues to view dividends as an important way to share the success of the company with shareholders. Let me now turn things back over to Dave for concluding remarks.
Dave Colo: Thanks, Brandon. Now, I would like to touch on some additional initiatives that support our long-term strategic plan. Although we delivered strong results for the quarter and year-to-date, we continue to monitor and manage three primary headwinds for 2021. The first headwind relates to uncertainty surrounding a potential COVID resurgence, including the impact it may have on our business. The second headwind relates to increased commodity costs, namely higher corn and wheat costs. As a reminder, we employ an extensive risk management program that includes purchasing the corresponding grain at the same time we contract volume and pricing for our products. However, for various reasons, we do not contract 100% of our sales. And as a result, we cannot provide assurance that we will always be able to price through increases in commodity cost to our customers in the open market. And lastly, similar to many other businesses, we continue to experience disruptions in our supply chain, including various packaging supplies, ingredients and transportation availability issues. While these supply chain issues are likely the result of the global disruption caused by the COVID-19 pandemic, it is unclear how long these delays and issues will persist. However, demand for our products remains robust, and we believe our business continues to be well-positioned to mitigate these challenges through the balance of the year. We have factored each of these headwinds into our full-year guidance and continue to closely monitor each of these potential headwinds. We will provide additional updates on future calls. Turning now to our aged whiskey sales strategy, with the addition of Luxco's aging whiskey, our total aging whiskey inventory amount now sits at $151.4 million, at cost. Excluding the addition of Luxco's aging inventory, MGP-owned inventory levels, at cost, are similar to last quarter as a result of putting away additional barrels to offset those sold to customers as aged sales. This confirms our commentary during last quarter's call that we've come close to achieving equilibrium. We will continue to make putaway decisions based on forecasted sales and broader market trends, negating the need to provide an MGP-owned quarterly inventory update at cost, going forward. We will continue to provide the combined aging inventory figure each quarter, but please keep in mind that this figure can vary quarter-to-quarter based on whiskey putaway levels and sales demand. Our long-term objective remains unchanged. We will continue to target adequate inventory levels to support our own brands and our customers' needs. Branded spirits made solid progress this quarter. We expect our legacy MGP brands will be available in all 50 states over the next 12 months. Currently, they can be found in 35 states, up from just 16 states before the Luxco acquisition. During the quarter, we also experienced an uptick in our on-premise channel sales. We expect this to continue through the end of the calendar year as more establishments open to full capacity and reload inventory.  Going forward, on-premise sales may be impacted dependent on the potential of a COVID resurgence. In addition to the three leadership changes we recently announced, I am pleased with the additions to our Board of Directors. Donn Lux, Neha Clark, Tom Gerke, and Kevin Rauckman each have unique backgrounds and skill sets that enhance MGP's capabilities to further its long-term growth strategy. This new group's significant M&A experience, legal and financial acumen, as well as consumer products and branded spirits backgrounds position the company well for sustained long-term growth. Before we open the call for questions, I would like to reiterate our confidence that each of our business segments remain well-positioned against strong macro consumer trends, and we continue to believe that our strategy will drive long-term sustainable growth. Operator, we are now ready to begin the question-and-answer portion of the call.
Operator: Thank you. [Operator Instructions] And the first question will be from Mitch Pinheiro, with Sturdivant. Please go ahead with your question.
Mitch Pinheiro: Thanks, good morning.
Dave Colo: Good morning, Mitch.
Mitch Pinheiro: So, just, kind of first one the, aged whiskey sales, very strong in the quarter, and what's interesting is – so, you said that the barreled distillate that you put away was similar to the last quarter. So, I was just trying to put that together. Is this – so you had really strong sales, but you had anticipated that? Is that why the legacy MGP barrels didn't grow much in the quarter? Am I getting that right?
Dave Colo: Yes Mitch, this is Dave. I mean, what we're trying to do, as you know, is maintain our legacy, if you will, MGP-owned inventory at levels that we feel are adequate to support future growth in the business of both; in this particular case, our customers' needs and our brands' needs. And what we were able to do is make sure that with the increased sales we had this quarter, we were able to put away enough whiskey to maintain our inventory levels at the same level they were at the end of last quarter. Does that make sense?
Mitch Pinheiro: Yes, it does. And then just staying on the barreled distillate inventories for a second, is the Luxco portion in balance toward these? Are we going to see any near-term fluctuation in that?
Dave Colo: The Luxco portion is exclusively to support our whiskey, American Whiskey, brands within the portfolio. And at this point, we believe that the amount of inventory we have is adequate to support the growth of those brands. Over time, as we anticipate those brands to grow, we'll make the appropriate decisions to put away the proper amount of whiskey to support that growth as well into the future.
Mitch Pinheiro: Okay. Staying on Luxco, could you just talk about the categories, ultra-premium, premium, value, et cetera, and the growth rates and any dynamics that are worth calling out in this quarter?
Dave Colo: Yeah, I think we continue to see – I think we've spoken before about we're focusing on some key brands within the portfolio, primarily American Whiskey brands, as well as tequila brands. And we're very pleased with the growth that we're seeing in both of those categories, which would be in the premium to ultra-premium part of the portfolio. So, the marketing efforts and the focus we're putting with the distributors and at the retail level and the consumers is paying off on those brands. So, we're very pleased with that. And as you would expect, our expectations on the, kind of mid and value tiers of our portfolio are that those would grow in-line with the overall category rates for those particular price-positioned brands.
Mitch Pinheiro: Was there any – is this quarter from a seasonal aspect, is there anything unusual about second quarter for Luxco relative to what we should look for in the third and fourth quarters?
Dave Colo: Yeah. I think part of what we called out in the script, Mitch, was that we're starting to see – we saw some pretty strong sales into on-premise as on-premise accounts start to more fully open, if you will. So, I'd say that's driven some, a little bit more growth maybe than we anticipated. We do expect that to continue throughout the balance of the year as the on-premise channel inventory loading continues. The only risk we see to that is what we called out as a potential headwind, is if COVID, the resurgence of COVID, heats up and on-premise locations start to close down or limit the amount of consumers they can allow in. We do think that that could potentially impact it. But if that doesn't occur, we think that we should continue to see some on-premise strength throughout the balance of the year.
Mitch Pinheiro: Okay. And just one more question, moving on to the Ingredient Solutions side. It was really tremendous growth in the quarter. Just trying to figure out, 30%, 40% type of sales growth has got to be beyond the category growth. Is there some – how should we think about a growth rate in the next 6 months to 12 months for this business? Is it going to stay at this kind of high level or is there more of a category or segment growth that we should be thinking about?
Dave Colo: I think the growth in Ingredients this quarter, one thing to take into consideration, Mitch, is last year in Q2 we had a cyber security event hit the company, and it impacted our ability to produce our ingredients for about 10 days in Q2. So that impacted our sales last year in Q2. So, we're cycling up against that, which inflates the numbers a bit. So, I would not anticipate these types of 38%, 40% growth rates. It's not a sustainable number quarter-after-quarter in Ingredients. It'd be more in line with, kind of what we've talked about on some previous calls that we do think this business is going to continue to grow, but it's certainly not going to be at those growth rates over the long haul.
Mitch Pinheiro: Okay, thank you. I’ll get back in the queue.
Dave Colo: Alright, thanks Mitch.
Operator: [Operator Instructions] The next question will be from Alex Fuhrman, with Craig-Hallum. Please go ahead.
Alex Fuhrman: Hey guys, thanks for taking my question and congratulations on another really strong quarter here. I would also love to get a little bit more color on what you said there about inventory. Obviously, Luxco is kind of skewing the math there, but it sounds like, at least in the second quarter, if I'm understanding you correctly, you're saying that you put away roughly as much as you sold out of your aged inventory. So, kind of reaching a sort of equilibrium there. Just kind of trying to understand, if that's the case, then why isn't what you just reported in Q2 a repeatable feat? Because it seems like the guidance for the year, which is very impressive either way, no matter how you slice it, but it seems like your raised full-year guidance is implying profitability in Q3 and Q4 that's about half of what you just reported for Q2. So, just trying to understand that better, you know could we see, if demand for aged remains robust, could this be, kind of a new run rate as you do a better job of selling that aged product?
Dave Colo: Yes. Alex, I think the key thing to keep in mind is, and we called it out in the prepared remarks, I think Brandon spoke to it, is the reason we said these were unprecedented sales is you've got to keep in mind what we've been selling, and this is, I believe, the fifth or sixth quarter in a row now where we've had very significant aged whiskey sales, is that at some point, right, you're selling out of your older vintages. So, the whiskeys that were put away in 2015, 2016, 2017, as an example, there was limited defined amounts of that whiskey that was put away. So, as we've had these strong quarters, a lot of that whiskey is either sold through at this point or the amount of inventory of those vintages is significantly reduced. So that's why we're saying it's not practical to sustain that level of growth quarter after quarter after quarter. So, that's the first part. The second part is, we do, though, every quarter we get to decide how much whiskey we're going to put away based on our read of the market dynamics and what we think the future growth of the category is going to be. So, in Q2, we did lay down appropriate amounts of whiskey to maintain, if you will, our MGP-owned inventory levels at levels very similar to last quarter.
Alex Fuhrman: Okay. That is definitely helpful there. Anything in particular that you were selling a lot of? I mean, it sounds like you were selling the older stuff out of your inventory. I mean, in terms of mash bills, was there anything that was in particularly high demand that maybe you have a little bit of a [indiscernible] in your assortment?
Dave Colo: I think it's been pretty consistent. The demand for the different types of mash bills we saw this quarter versus the last several. So, you know, and that provides us good insight on what to lay down for the future as well. But there wasn't any one particular mash bill, Alex, that really drove this performance. It was really more, kind of what I would call our typical mash bill mix that we've been selling over the last several quarters.
Alex Fuhrman: Okay. That makes sense. And then just, kind of lastly on the topic of inventory, I mean, it sounds like from your prepared remarks that your thinking for now is Luxco's juice is going to go into Luxco's brands and MGP's inventory can do what it's been doing. But obviously, that is quite a portfolio of whiskey that you got with the Luxco acquisition. Are there perhaps opportunities to optimize maybe something that Luxco had that there's a bigger bulk market for than maybe they would have thought or maybe something you have that there's greater demand into one of their brands? Just curious if, over time, there's going to be more opportunities to optimize that $100-plus million portfolio of inventory.
Dave Colo: I mean that's our – kind of what we get charged to do, is to figure out the best and highest use that drives the greatest margin return on that inventory. However, here's the good news. With the Luxco inventory, 100% of that at this point we think we're going to have strong enough demand on our American Whiskey, Kentucky-based whiskey brands to utilize that inventory.  And again, that's going to be the highest use and margin for the inventory, is to sell it as a brand, versus bulk sales. So, that's our intention at this point, and we'll continue to put away Kentucky whiskey to support the growth profile of those brands that we see over the next several years.
Alex Fuhrman: That’s great. Thank you guys very much.
Dave Colo: Thanks Alex.
Brandon Gall: Thanks Alex.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Dave Colo for any closing remarks.
Dave Colo: Thank you for your interest in our company and for joining us today for our second quarter call. We look forward to speaking with you again after the third quarter. Thank you.
Operator: And thank you sir. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.